Operator: Ladies and gentlemen, thank you for standing by welcome to the Dycom Results Conference Call. For the conference, all the participant lines are in a listen-only mode. There will be an opportunity for your questions; instructions will be given at that time. (Operator Instructions) As a reminder, today's call is being recorded. I'll turn the conference over to your host Mr. Steven Nielsen. Please go ahead.
Steven Nielsen : Thank you, John. Good morning, everyone. I'd like to thank you for attending this conference call to review our first quarter fiscal 2015 results. During the call, we'll be referring to a slide presentation, which can be found on our website, www.dycomind.com under the heading "Events." Relevant slides will be identified by number throughout our presentation. Going to Slide two, today we have on the call, Tim Estes, our Chief Operating Officer; Drew DeFerrari, our Chief Financial Officer; and Rick Vilsoet, our General Counsel. Now, I will turn the call over to Rick Vilsoet.
Rick Vilsoet : Thank you, Steve. Referring to Slide three, except for historical information, the statements made by company management during this call may be forward-looking and are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements, including those relating to the company's outlook, are based on management's current expectations, estimates and projections and involve known and unknown risks and uncertainties which may cause the company's actual results in future periods to differ materially from forecasted results. Those risks and uncertainties are more fully described in the company's annual report on Form 10-K for the year ended July 26, 2014 and other periodic filings with the Securities and Exchange Commission. The company assumes no obligation to update forward-looking statements. Steve?
Steven Nielsen : Thanks, Rick. Now moving to slide four and a review of our results; as you review these results please note that we’ve presented adjusted EBITDA and certain revenue amounts excluding revenues from subsidiaries acquired during the fourth quarter of fiscal 2014 and the first quarter of fiscal 2015 and revenues from stimulus funded projects all of which are non-GAAP financial measures and our release and comments. See slide 14 to 16 for a reconciliation of non-GAAP measures to GAAP measures. Revenues for the quarter decreased slightly year-over-year to $510.4 million a decrease of 45 basis points, after excluding revenues from subsidiaries acquired during the fourth quarter of ’14 and first quarter of ’15 revenue declined 2.4% organically. Revenues for the quarter were impacted by an expected decline in work for rural customers receiving stimulus funding offset in part by expanding revenues from customers deploying 1 gigabit wireline networks. Gross margins increased 94 basis points as a percentage of revenue reflecting improved operating performance while general and administrative expenses were essentially in line year-over-year increasing 36 basis points. All of these factors produced adjusted EBITDA of $66.4 million or 13% of revenue and net income of $0.59 per share compared to net income of $0.54 in the year ago quarter. Adjusted EBITDA and quarterly earnings per share both represent all-time highs. Liquidity was solid in the quarter with cash and availability under our credit facility totaling a $162.1 million. And finally, during the quarter, we completed the acquisition of Hewitt Power & Communications the supplier of wireline construction services throughout the state of Florida. Now, we’ll update our views of the significant and unprecedented industry end market driver which is impacting our business and outlook as well as recent telecommunications industry regulatory discussions. Going to slide 5, throughout this calendar year, we’ve articulated with increasing conviction our view that an industry wide consensus was emerging that network bandwidth both wireline and wireless needed to increase dramatically in response to consumer demand and competitive realities. Today that consensus is uncontested. A number of major industry participants have initiated significant wireline network deployments that dramatically increase bandwidth across broad sections of the country, they now believe that newly deployed network should be designed to provision bandwidth enabling 1 gigabit speed that individual consumers. Some participants who previously have not contemplated provisioning video over the networks are now doing so. All of these industry developments are producing opportunities across a broad array of our existing customers which in aggregate are unprecedented for the industry. Currently, we’re providing engineering and design and area of underground construction services for 1 gigabit for deployments. These services are being provided across the country in 11 major metropolitan areas to a number of customers. We believe their revenue and opportunities driven by this new industry standard are accelerating into calendar year 2015. As with prior industry changes of this magnitude, we expect some near-term customer spending modulations as network strategies adapt to the new environment, as well as some of the normal timing uncertainty associated with the initiation of large scale network deployments. We remain confident that our competitively unparalleled scale and market share position us well to deliver valuable service to our customers for those opportunities which have the highest likelihood of benefiting our shareholders. While recent regulatory discussions have introduced some unhelpful uncertainty that has impacted one customer's near term plans. We do not believe that that final resolution of these discussions will reduce the needs of dramatically increased bandwidth in response to consumer demand and competitive realities. Ultimately, we trust that our country will not shackle one of the most dynamic and competitive sectors of our economy in a legally sustainable way with a regulatory regime that will inevitably collapse of its own inherent contradictions. Those desire a new regulatory regime that will enable us and protect the innovation created by increased consumer bandwidth have proposed an archaic oversight approach, which discourages industry participants for making the very investments needed to obtain the objective of this newly proposed regulatory regime. As one industry participant recently stated, ‘I guess I am optimistic that the FCC and the agency will make the right decisions on growth.’ Moving to slide six, during the quarter we experienced the effects of an industry environment which we believe continues to improve. AT&T was our largest customer at 21.2% of total revenue or $108.5 million. AT&T grew 13.6% organically year-over-year, wireline services grew organically for the seventh consecutive quarter. Revenue from CenturyLink was $66.9 million or 13.1% of revenue. CenturyLink was our second largest customer. Revenue from Comcast was $65.1 million or 12.8% of revenue. Comcast was our third largest customer and grew organically 19.8%. Verizon was Dycom's fourth largest customer for the quarter at 7.3% of revenue or $37.4 million. Revenue from a customer requesting we not identify them by name was $25.3 million or 5% of revenue, it was fifth largest customer. Altogether our revenue declined 0.45% after excluding revenues on subsidiaries acquired during the fourth quarter of 2014 and the first quarter of 2015. Our top-five customers combined produced 59.4% of revenue, increasing 6.6% organically while all other customers declined 13% organically. Of note, organic revenue increased 1.6% excluding projects funded in part by American Recovery and Reinvestment act of 2009. Now going to slide seven. Backlog at the end of the first quarter was $2.359 billion versus $2.331 billion at the end of the fourth quarter of 2014, an increase of approximately $28 million. Of this backlog, approximately $1.395 billion is expected to be completed in the next 12 months. Both backlog calculations reflect solid performance as we continue to book new work or new existing work and anticipate substantial future opportunities. For AT&T, we secured or renewed construction and maintenance and engineering services agreements in North Carolina, Kansas, Texas, Alabama and California. With Verizon we renewed engineering services agreements for Massachusetts, New York, New Jersey, Pennsylvania, Maryland, Virginia, Florida and California. From Windstream we’ve received a construction services agreement in Georgia. With Frontier, we renewed construction and maintenance service agreements in West Virginia and finally we secured broadband projects in a number of states including Colorado, Wisconsin and Illinois. Headcount increased during the quarter to 10,708. Now I will turn the call over to Drew for his financial review and outlook.
Drew DeFerrari: Thanks, Steve, and good morning everyone. Going to Slide eight, contract revenues for Q1 of 2015 were $510.4 million. Businesses acquired in the first quarter of 2015 and the fourth quarter of 2014 contributed in aggregate $10.1 million of revenue on the current period. Adjusted EBITDA was a 13% of revenue or $66.4 million during the quarter and earnings per share were $0.59 which is quarterly high compared to $0.54 per share in Q1 2014. Turning to Slide nine. Total revenues were $510.4 million, reflecting growth from several key customers offset by declines from rural customers on stimulus projects and certain customer spending modulations during the quarter. Gross margins grew to approximately 21% in Q1, reflecting a solid performance. G&A increased with the inclusion of recently acquired companies for Q1 of this year and a slight increase in stock-based compensation. Higher depreciation from recent capital expenditures was more than offset by a $1.1 million decline in amortization. Adjusted EBITDA percent was at 13% in Q1 '15 reflecting good execution during the period. Turning to Slide 10. Our balance sheet continues to reflect the strength of our business and our liquidity is at $162.1 million with cash on hand and availability on our credit agreement. Operating cash flows reflect improved earnings and changes in working capital. Capital expenditures net of disposals were $16.3 million and gross CapEx was approximately $18 million. On our credit facility, borrowings increased approximately $9.7 million to support sequential growth and to fund the acquisition of Hewitt Power and Communications during Q1. Now turning to our outlook on slide 11, each year our second quarter is impacted by seasonality, our results are impacted by inclement winter weather, fewer available workdays due to the holidays, reduced daylight work hours and the restart of calendar payroll taxes. Q2 of fiscal 2014 was a challenging quarter on gross margins based on the extreme weather experienced across a large portion of the U.S. As we look to our Q2 of 2015, we have based our outlook on normal winter weather. If extreme weather conditions were to occur this year as they did in 2014, our results will be impacted. As we look ahead into the second quarter of fiscal 2015 we anticipate revenues which range for $410 million to $430 million, we expect normal winter weather patterns, network investments by several large customers, decreases from rural customers on stimulus projects and some customer spending modulations as strategies adapt to a changing environment. Gross margin percentage is expect to expand from the Q2 ’14 results reflecting an improving mix of growth opportunities and an expectation for normal winter weather patterns. Total G&A expenses will reflect scale and recent M&A, stock based compensation is expected as approximately $3.7 million for the quarter depreciation and amortization on a combined basis is expected to range from $23.4 million to $23.7 million including amortization expense of $4.1 million in Q2 ’15. Interest expense is expected at approximately $6.7 million, other income from asset sales is expected to range from $1.4 million to $1.7 million, taxes are expected to continue just under 40% effective rate during fiscal 2015. The applicable factors are expected to generate an adjusted EBITDA margin percentage which expands from the Q2 ’14 results and earnings per share which are currently expected to range from $0.07 to $0.14 per diluted share. We expect approximately 35.2 million diluted shares during Q2 ’15 with shares gradually increasing in subsequent quarters reflecting the future vesting and equity awards. Now going to slide 12, looking ahead to Q3 of fiscal 2015, our expectations currently reflect continued industry trends of network investments, a decline from rural customers on stimulus projects, some customer spending modulation and normal timing uncertainty associated with large scale deployments. These factors are expected to result in third quarter revenue percentage growth of mid-single to high-single digits compared to Q3 ’14 including revenues of recently acquired companies. As we look to our Q3 ’15, we’ve based our outlook on normal winter weather and expect margins to improve over the Q3 ’14 results. We expect our G&A expense percent to be inline year-over-year and to include non-cash stock-based compensation of approximately $3.3 million. Adjusted EBITDA margin percentage is currently expected to expand year-over-year, other factors influencing results include depreciation and amortization on a combined basis which is expected to range from $23.5 million to $24 million, interest expense of approximately $6.6 million to $6.7 million and other income from asset sales which ranges from $3 million to $4 million. Now, I’ll turn the call back to Steve.
Steven Nielsen: Thanks Drew. Moving to Slide 13, within an improving economy we experience the effects of the solid industry environment and capitalized on our significant strengths. First and foremost we maintain strong customer relationship throughout our markets. We continue to win projects and extend contracts at attractive pricing. Secondly, the strength of those relationships in the extents of market presence they have created has allowed us to be at forefront of evolving industry opportunities. The end market drivers of these opportunities remain firm and are strengthening. Telephone companies are deploying fiber-to-the-home and fiber-to-the-node technologies to enable video offerings, and in some instances, 1 gigabit high-speed connections. These deployments are accelerating and impacting our business. Some of those telephone companies previously deploying fiber-to-the-node architectures are transitioning to fiber-to-the-home deployments, while others are beginning to provision video over fiber-to-the-node architectures. Cable operators are continuing to deploy fiber to small and medium businesses and with increasing urgency. Some are doing so in anticipation of the customer sales process. Overall, cable capital expenditures and new build opportunities are expanding. Wireless carriers are upgrading to 4G technologies creating growth opportunities in the near to intermediate term as well as increasing capacity where 4G technologies are already deployed. Industry participants continue to aggressively extend fiber networks for wireless backhaul services. These services are now planned for small cells as well as macro cells dramatically increasing wireless data traffic may prompt further wire line deployments and new projects funded by the connected -- fund are deploying fiber deeper into world networks. We believe we’re uniquely positioned, managed and capitalized to meaningfully experience and improving industry environment to the benefit of our shareholders. We remain encouraged that our major customers possess significant financial strength and remain committed to multi-year capital spending initiatives which in some cases are meaningfully accelerating and expanding in scope. We remain confident in our strategies to prospects for our company the capabilities of our dedicated employees and the experience of our management team growing our business and capitalization many times before. Now, John, we will open the call for questions.
Operator: Certainly. [Operator Instructions]. First we will go to Simon Leopold with Raymond James. Please go ahead. 
Simon Leopold: First, let's get the couple of housekeeping items on the way if we might be -- the cable Telco split please and if you could roundup the top ten customer list that you normally do. 
Steven Nielsen: Thanks, Simon. So the Telco was at 62.6%, cable 27.1%, the facility locating was at 6% and then the remainder was electric gas and other. The number six customer was Time Warner Cable at 4.9% of revenue. Windstream was number 7 at 4.3%. Charter was number 8 3.7%. Corning was number 9 at 1.6% and Ericsson was number 10 at 1.2%. 
Simon Leopold: So it looks like you are facing some cross current here with some nice tailwinds and some incremental headwinds and I appreciate the commentary on network neutrality. I guess I am just trying to get a better sense for how you think about 2015 overall even if you can't explicitly quantify it, what the sort of net balance of gigabit projects I think is a tailwind versus we think CapEx cuts, the network neutrality uncertainty and money going to fund spectrum with the bids out there. How should we think about the overall perspective for calendar '15?
Steven Nielsen: Sure. So collaterally and while we've given for detailed guidance for the second quarter, then qualitative in to the third Simon, I mean we see growth opportunities in the business. I think maybe I have reframed your comment slightly differently. I think we have varying degrees of tailwinds. I don't think we have substantial headwinds. So I think while clearly some of the comment carry around that neutrality was in the near term unhelpful. I think we are confident as I think most of our customers are that at end of the day the regulators will do the right thing that any pause will be short lived. 
Simon Leopold: The other topic that's in some discussion is a possible, a possible pause I guess is the appropriate phrase around the cable operators pending their consolidation with Comcast charter Time Warner doing exchange of assets I guess and that's where to put it. Have you seen any indication of any changes or pause as a result of this transaction?
Steven Nielsen: Great Simon, we had organic growth in the October quarter with Comcast at 19.8%. I think we'd have to go back on number of years for a similar outcome. I think they were pretty clear in their more recent comments that their approach is full steam ahead. I think we see opportunities across all the cable operators around new bill and I think one commentary has been provided. They feel pretty comfortable about their CapEx and in quarters where we are growing 20%, I think that's probably showing up with our business.
Simon Leopold: And then just one last one. AT&T has been public on its commentary about network neutrality. What have you been hearing from other customers in terms of their reaction, it's probably an issue of some concern but what are your other customers besides AT&T saying regarding the network neutrality today?
Steven Nielsen: I think the general sense was that people who have talked about next year's CapEx have seen it as flat to increasing. I think people are somewhat disappointed in some of the uncertainty by I don't think that, that shapes in anyway their commitment to competing and doing that in their infrastructure. I mean I think it's interesting, Simon, you've been doing this a long time, I have too. There is probably more commentary about the next year's CapEx earlier in the current year that I've seen at a long time which I think is indicative of how important it is. 
Operator: Our next question is from the line of Tahira Afzal with KeyBanc Capital Markets. Please go ahead. 
Tahira Afzal : I here you guys are turning in clearly a better utilization at this point we are starting to see that in the margins and. I know your visibility outside of the is tough given how your customers typically spend. But if I was to look at the trajectory of margins going forward specially as the anniversary so in pretty tough weather comes from earlier on in 2014 into early 2015, Steve, can you comment on how you see that margin trajectory in general it seems like you’re feeling better about it but we’d love to get a little more color around that.
Steven Nielsen: Sure, so I think what’s important to keep in mind and this is a function of scale of the company particularly after the last couple of years’ worth of acquisitions, we’re able to address the vast majority of these new opportunities within our existing infrastructure and when you’re able to do that you just get much better it’s not just utilization of your field people which I and that was the way people think about it but you get utilization of your warehousing and facility infrastructure, your support staff, management teams and you’re growing in areas where you’ve existing relationships and in many instances where we’ve a local presence that’s measured in decades and that just creates opportunities for us to do better now that means that there are things to work on, does it mean that there was something last quarter I wish to – but it just means given the footprint of the company given the match of that footprint to the opportunities, we feel good about performing better.
Tahira Afzal : Got it, okay. And Steve, if you look at one of your larger [E&P] players that was hosting the Analyst Day and they were pretty bullish on your sectors while in general – and customer spending but at the same time they were talking about gaining market share to really build up their brockets, their new entrance so, could you talk a bit about what you’re seeing on the competitive landscape, are you seeing the larger traditionally [E&Ps] trying to run it into your space a little more and if there are is it more against some of the lower quality folk so it’s do not really seeing the impact?
Steven Nielsen: So, I think that here we’ve talked about this before as we – as there are increasing growth opportunities as the scale of those opportunities becomes larger it were successful and our industry is growing, there has been no attractive competition I think historically the larger folks that are not involved in the space have tended to be people that come in they stay for a while and they leave now that mean that will happen that way this time but historically particularly on the wireline side of the business both cable and telephone, there is just not a history their of our customers feeling like those types of resources or something that’s a good fit for what their needs are, now there has been some involvement of wireless that maybe slightly different story but and that doesn’t mean what happened in the past will continue but to and in unprecedented market full of opportunities where there is lots of competitive intensity, we think we’re in a good place.
Operator: And next we’ll go to Alex Rygiel with FBR, please go ahead.
Alex Rygiel: Thank you, good morning Steve, nice quarter.
Alex Rygiel: Steve, how many of your top 10 customers are wireless customers and how many are one gigabit customers?
Steven Nielsen: I don’t know that I prepared to answer that I mean clearly we do wireless and wireline for AT&T, we also do wireless and wireline for Verizon and we do a little bit of primarily wireless for Ericsson but that one so the customers are going to be wireline.
Alex Rygiel: And you don’t want to comment on how many are one gig customers?
Steven Nielsen: We said we’ve a number of customers so that’s probably more than two, how is that?
Alex Rygiel: One gig sounds exciting but how can you measure whether or not it’s a net positive or just a reallocation of CapEx from traditional spending?
Steven Nielsen: Sure, I can answer that kind of with one example in Berkeley. So there is a particular opportunity where we do all of the master services agreement, construction and maintenance activities. At one side that’s an opportunity across an entire state that might be worth let’s call it $100 a year but fiber to the home opportunity in that same state is greater than the all of the maintenance and new build activity. So that maintenance and new build activity as we accompany growth it needs to be done as we continue to add jobs at work needs to be done. So there is always some – credit of cost but it’s that analytical framework is fraud at least as we seen it in existing markets.
Alex Rygiel: And lastly, one of the challenges I think has been organic growth and the lack of organic growth in the business for the last half of quarters, when might we see this shift and see a much more substantial acceleration when do the comps get easier with the more loss of stimulus for and so on?
Steven Nielsen: Sure. So we've providing in our trending schedules and I think also in the attachments to the press release, roll up on stimulus and that's clearly been the most substantial headwind. And we think that comes out of the business over the next two three quarters. And I think that's why we have broken that out so that, that becomes a less of headway. I will let your work your own numbers but the second quarter all I think you will be able to at least surge one range of scenarios to get you to true organic growth for the quarter. 
Operator: Our next question is from Adam Thalhimer with BB&T Capital Markets. Please go ahead. 
Adam Thalhimer: What gives you the confidence that the net neutrality impact will be short-term?
Steven Nielsen: It's inconceivable to me that it makes sense to impose kind of the 1930s which was an extension of an 1880s regulatory framework to telecom. And I think to the extent that regime created a disincentive to invest that showed up in people's quality of life that it would be pretty short lived. And I am also pretty optimistic that the regulators understand and that just wouldn't make sense. I mean if you think about more broadly kind of the widely [indiscernible] lack of spending on public infrastructure like highways and bridges without extending some kind of public oversight or private investment and telecom just doesn't make sense to me. 
Adam Thalhimer: And then how does this play out in terms of comment over FCG and perhaps some of your customers to make public statements about return [indiscernible] back on or how ... 
Steven Nielsen: I think there is a conversation that’s ongoing now the people are reporting on and I think there is a timeline to get that resolved hopefully in a way that doesn’t windup in the court system for a long period of time. This is a conversation I think that started in either 2006 or '07. Another version in 2010, and if you think about during that period of time, how much investment there has been in wireline and wireless networks and how much for example as was earlier referred how much is being spent to acquire wireless spectrum. The idea that we've kind of created the hand of regulation on the space doesn't make sense. 
Adam Thalhimer: Last quarter you gave the amount of 1 gigabit work in your backlog, can you share that again?
Steven Nielsen: I think we gave a general approximation and we are not going to break it out. We've given you a number of growth opportunities and where they are located that we booked in the quarter, we'll leave it to the analyst community to put it all together.
Adam Thalhimer: And then lastly, your unnamed customer -- if I look over the last two quarters, it’s consistent at a 100 million run rate and for those of us GAAP model revenue on a customer specific level and just curious how you see that trending.
Steven Nielsen: We think there is growth opportunity there.
Operator: Our next question is from Christian Schwab with Craig-Hallum and Capital. Please go ahead. 
Christian Schwab: So just on the utilization question is I want to make sure thinking about it just correct we talked about this time as deployments accelerate and let's say the government and SEC and AT&T can all get together here and all we will just have a big tailwind here. Are you going to need to hire more people I would assume if everybody is going to be spending doing the same thing. As we think about gross margins, I would assume as you hire next year 100 people to work in one metro area or 300 extra people in that metro area, it's probably going to cost us more money to hire them and some of the other people who exist there might be not as costly but will bid it out on the cost of them. So as deployments accelerate gross margins expands, right?
Steven Nielsen: Yes. I mean Christian the way -- we have been through this cycle before. I mean there was a period of time a long-time ago where we worked in that land and it had a 2% unemployment rate. Don't get any tighter than that. What you have to keep in mind is as the industry gets busy as an industry and the name of the game is no reallocating resources from provider-to-provider but growing overall industry capability there is got to be a commitment of capital made both for the people but also for the equipment and tooling. While we are always going to be fair to our customers, I think customers understand that within that context, as the cost of inputs go up there have to be an adequate return on those costs and that’s an important part of making sure that people can meet their objectives. So, there is always a balance that you’ve to strike but that’s the way it’s always played out before and I think once again our scale makes a difference because a, we’ve been through it before but the scarcity you’ve talked about starts in much higher embedded base of resources, it’s always easier to add a 1,000 people to 10,000 that it is 1,000 to 1,000 right? And so that while it may see attractive and probably is the sum it maybe a little harder to build scale than others appreciate but that’s a good thing for us.
Christian Schwab : Great, and thank you. And then can you remind us the potential positive tax of lower fuel cost?
Steven Nielsen : Yes, Drew, why don’t you just talk about that.
Drew DeFerrari: So, first quarter year-over-year it probably contributed a $500,000 of the margin.
Operator: Our next question is from John Rogers with D.A. Davidson, please go ahead.
John Rogers: Steve, looking at your backlog it’s up sequentially and pretty substantially year-over-year, are your customers changing the way that they give you orders or how should we think about it, is that significant? [indiscernible]
Steven Nielsen: Yes, no and as I’ve said before right better than last quarter order does move around, there has really been no change in the pattern in which customers have issued work, there have been no kind of overall industry or even customer trend altered the relationships like activities just picking up.
John Rogers: But in the size of the orders, the size of the projects, is that changing?
Steven Nielsen: Well, certainly when you get into these one gigabit deployments those can be substantial projects and they have tight timelines right? So they can be, they can come into backlog in a pretty significant way and burn through it but once again if you look at our embedded base of master service agreements as the economy picks up as new Greenfield subdivisions go in as the economy generates employment, when you add in that 200,000 jobs a month that requires investment in telecom infrastructure that when we weren’t growing jobs that wasn’t being spent.
John Rogers: Okay, and just getting back to some of the in the sort of the customer capital spending – in commentary that we’ve heard lately, from your point of view, AT&T has come out and they expect capital spending overall heading down 10% next year but you’re fraction of that the services that you provide, are you seeing I mean what would be your general commentary on what capital spending is relative to wireline and wireless install activity?
Steven Nielsen: Yes, and I think John what we said earlier and your premises like there are big customer, they’ve got lots of folks, they have a big capital budget we don’t work for them everywhere and we don’t touch all parts of their capital budget but in the places we see we feel comfortable with flat outlook on wireless could down a little bit, could be up a little bit and we see growth opportunities in wireline obviously the shorter the pause the better but we’re encouraged that they have made some comments and some of the markets that are already underway that they plan to continue in those markets that are underway. So, we just thought this kind of unfortunate uncertainty gets resolved quickly because I think it’s in the interest of the country to do it.
John Rogers: Got it, and then lastly if I could is projects as you’ve indicated get more out of the average size and maybe some of the projects get larger, are you seeing more opportunities in the acquisition market or given that your scale now you don’t, you made comments earlier about leveraging what you’ve got or you don’t need the acquisitions to grow?
Steven Nielsen: Well we do the small acquisition both in the fourth quarter of last fiscal year and then just in this most recent quarter, good companies, we’re glad that they’re part of our company but they were certainly nice to have, they weren’t necessarily need to haves and I do think that the footprint that we have allows us to be in front of things there maybe some small acquisitions that allows us to be even more in front of opportunity but not something that we see as a significant drain on capital.
John Rogers: Thank you, happy Thanksgiving.
Steven Nielsen: You too John.
Operator: And we’ll go to Noelle Dilts with Stifel, please go ahead.
Noelle Dilts: So, just kind of extend on what of lot of other folks were asking about but just given that the AT&T CapEx announcement came as a surprise to many industry participants and maybe been some folks within AT&T itself, can you just remind us about your visibility into work, with your work whether that's going to just releases under your existing MSA contracts but maybe you could also talk about just through communications with a lot of your larger customers to the degree that we are expecting to see some visibility into the coming spend?
Steven Nielsen: Sure. I think what we said earlier is particularly on wireless where that's a turnkey approach to the business where they are citing and zoning is that acquisition opportunities in other things we tend to have a pretty good work. As a release work, we know the value of the work, generally and when it's scheduled to be completed that doesn't mean that I can't change it but walking even with very recent activity we feel comfortable with our outlook there. On the wireline site, clearly AT&T strongly believes in their giga power project definite aggressive hundred city rollout that their pausing and reevaluating at least impart because of those regulatory uncertainty and I think it's very interest in everybody else's interest to get that behind. I think with respect to the rest of our customers, I think their public comments show that they are concerned that at least at this point not altering kind of their indicated levels of activity for next year which once again as a signal as to how important next year's capital plans are, they have been talking about them talking about them quite early in the disclosure cycle. 
Noelle Dilts : Okay. And then when you are looking at this 1 gig work can you help us a little bit about how much of that is maybe falling under some of your existing MSA contracts with maybe an extension on how much is kind of at new project business or contracts. 
Steven Nielsen: I think we have extensive relationships with a number of folks that are pursuing those opportunities in their networks and we have got a complete assortment of either extensions of existing agreements, new agreements in geographies that we already serve, where we already have infrastructure and where we are clearly the if we do a good job, the best supplier because we are there and we have existing relationships. We are also seeing opportunities to provide resources in areas where perhaps some of our smaller competitors may not be able to step up. So it's really of broad spectrum of opportunities. 
Noelle Dilts : And then last question, kind of a housekeeping question. Can you tell us what wireless revenues were in the quarter?
Steven Nielsen: Yes, it was about 11%, just a little over 11%.
Operator: Our next question is from Alan Mitrani with Sylvan Lake Asset Management. Please go ahead.
Alan Mitrani: Drew, can you talk about your CapEx plans for the year still in the gross to net basis, it seemed a little than I thought this quarter?
Drew DeFerrari: Sure, Alan. Yes, it came in a little bit but we are still comfortable with the 80 to 85 on a net basis for the full fiscal 2026. 
Alan Mitrani: Can I assume that will skew a bit to the second half relating see through customers where they spend?
Drew DeFerrari: I mean now what we've got, we've got enough visibility to execute against that CapEx plan and if it gets better, we will be happy to spend more.
Alan Mitrani: Okay. Also the acquisition, can you tell us how big on an annual basis maybe I [indiscernible] the revenues are and [multiple speakers].
Drew DeFerrari: It's a $12 million to $14 million basis on annual basis Alan. There was about a little less than 2 million in the quarter. 
Alan Mitrani: And then Steve just a bigger questions, a couple of years ago we thought your SG&A might flatten out a little bit as you integrated the [indiscernible] business. I realize you are building for bigger, for a much bigger revenue based in the next couple of years but we haven't seen the flattened out it seems to have flattened out in a higher level. I am just wondering -- and the same with DNA we can know obviously the A portion came down a little bit but the B is moving up, when do we get that lift off of this or is there a decline of other certain specific projects such as spending on that maybe we could see one of these quarters a revenue jump and an SG&A drop on a relative basis?
Steven Nielsen: That's always a possibility Alan but I tell you when you have unprecedented opportunity, but you want to make sure that you've got the best team and best systems in place to convert that to gross margin. And we continue to have initiatives that they cost out of the business but there are other things that we are doing to create future value and we are comfortable where that makes sense for the opportunities that we see going forward.
Alan Mitrani: Okay. On the gross margin since you mentioned it, it seems like the lower gas prices you were seeing year-over-year Drew, but I guess quarter-to-quarter it seems like that's going to be more meaningful if we compare call it the back half of '14 versus the front half of '15. Are you doing anything to lock in some of these lower gas prices?
Drew DeFerrari: I mean we've looked at opportunities to do that before Alan and will be opportunistic about it. We don't [indiscernible] fuel but we certainly realize that there is an opportunity through the winter that perhaps we can hedge some of our costs going forward and if it makes sense, we will do it. 
Alan Mitrani: Okay. On the gross margin also, it seems like it makes sense for you to play for margin profitable business with good customers overtime as opposed to just going for revenue growth the way some competitors might be looking forward overtime. Can you just talk about that issue because it seems like for the first time in a while we are going to be seeing some decent margin growth this coming year, what’s your thoughts are in terms of going after a few points of revenue growth versus a few points of decent margin growth?
Steven Nielsen: Our bias Alan is always going to be towards margin and environment where we’ve seen this before I have been very clear that we’d be very happy to grow our revenue somewhat slower than the overall industry opportunities as long as we grow it in the right places that create the most value for shareholders.
Alan Mitrani: On the customer side, it seems like I could just look at frontier and wind stream slowing down a bit just to be able to see the rural dropping of frontier went from 35 million in fiscal ’13 roughly down 27 million last year it didn’t even show up as a top customer here in the top 10, we look at that in the same wind stream from 127 down to 92 down to what looks like a run rate of 80 or lower, could we use that sort of are engaged partly in terms of looking at rural customers?
Steven Nielsen: Well, we’ve given the stimulus funded portion for all customers in the Reg G disclosure but I think it start with that and you point about that as going this year or over the next three to four quarters probably three quarters and I think that’s the best way to do it because as we highlighted in our comments and as Windstream has talked about the funds that will flow to the rural carriers as a part of the Connect America fund which is allegedly to be finalized before the end of the calendar year could be very substantial and it’s for an extended 5 year period so, I’m not sure I’d be comfortable with that with respect to those people who could get Connect America funds.
Alan Mitrani: Got it, and then one last question, on the DSOs I realized there was a customer quote 17 million to 18 million you’re disputing but even if I take that out DSOs assumingly we’re the highest they’ve been, I guess there is what I look at that is a big opportunity not cash constrained because your great credit lining you don't have to pay back that debt for a long time it seems like the ability to generate a lot of cash in the next couple of quarters as you go to the winter months to be able to maybe use that put it either into acquisitions or to put it back into buying your own stock back given your roughly at couple of hundred million dollar EBITDA run rate two times – with no issues and covenants, what are your thoughts there?
Steven Nielsen: Yes, so we certainly see some good cash flow coming back, when you grow particularly with new customer, sometimes it takes them and us to work through getting that the cash flowing we see that happening and as always Alan, we’re going to balance kind of what it’s going to take to fund the company organically particularly when we contemplate some pretty substantial opportunities next year versus where the share price is, versus what we can do around M&A, as we said earlier we certainly see opportunity for some small M&A that no strategic need to do anything significant that would impact our ability either grow organically or by shares back if they’re attractive.
Operator: And we’ve follow up from Alex Rygiel with FBR, please go ahead.
Alex Rygiel: In terms of improving margins expanding nicely organic growth returning, why haven't you become more aggressive in the buyback with your stock at this level? 
Steven Nielsen: Well, I think if you look at the price chart Alex, we’ve a trading policy that establishes windows and when they open and close and the real weakness in the equity occurred after the window is closed.
Alex Rygiel: And lastly on wireless, what’s your longer terms strategy on wireless looks like growth rates been somewhat stable over the last call at 6 quarters or so, is that business line that can grow faster than wireline?
Steven Nielsen: I would say on a balance of opportunities that right now wireline has higher potential growth rates and I don’t think that just as I think that’s probably that kind of the industry to industry.
Operator: And Mr. Nielsen, there are no further questions in queue. 
Steven Nielsen: Okay, well we thank everybody for your time and attendance. Have a good Thanksgiving and we’ll talk to you at the end of February. Thank you.